Operator: Good morning, ladies and gentlemen. Welcome to the First Quantum Minerals Quarterly Results Conference Call. I would now like to turn the meeting over to Ryan MacWilliam, Director, Business Development and Investor Relations. Please go ahead, Mr. MacWilliam.
Ryan MacWilliam: Thank you, operator and thank you everyone for joining us today to discuss our second quarter results. Before we begin, I'll draw your attention to the fact that over the course of the call, we'll be making several forward-looking statements. And as such, I encourage you to read the cautionary note that accompanies our most recent MD&A and the related news release, as well as those risk factors particularly to our company, which are detailed in our most recent annual information form and available on our website and on SEDAR. And a reminder there is a presentation, which accompanies conference call is also available on our website. On today's call, Tristan Pascall, our Chief Operating Officer will provide overview of operations and performance during the quarter and share his perspective on the Company's outlook moving forward. He will be followed by Hannes Meyer, our Chief Financial Officer, who will review the financial results. Tristan will then wrap things up with an eye to the next quarter and an overview of our key strategic priorities. After that, we'll open up the lines to take questions. With that, I'll turn the call over to Tristan.
Tristan Pascall: Thanks, Ryan. Hello, everyone and welcome to the call. Q2 was another strong quarter for First Quantum, debt reduction remains a key part of our focus and I'm proud to say that we are well on our way to achieving our target of more than $2 billion reduction in gross debt as a result of strong operational cash flows and robust commodity prices. The tapering off of the hedging program will further benefit financial results in the remainder of this year and the expected close of the sale of 30% stake in the Ravensthorpe operations to our new partners POSCO for US$240 million in Q3 will also contribute to our debt reduction program. Copper production was just sigh of 200,000 tonnes in the quarter, an increase of 18% from the same period in 2020. This increase was due primarily to strong production at Cobre Panama, which was nearly four times the rate of the COVID-19 impacted second quarter of 2020. Cobre Panama continued with the ramp up to the target throughput rate of 85 million tonnes per annum in 2021 with stronger throughput being somewhat offset by higher maintenance during the month of April and slightly lower grades compared to the previous quarter. However, production throughput in May and June was pleasing with a new production record of approximately 7.5 million tonnes processed in the month of June. This resulted in quarterly production of around 82,000 tonnes of Copper contained in concentrate. Earlier this month, the Government of Panama announced the appointment of a high level commission of senior government ministers and official to deliberate on Law 9 which sets a fiscal regime for Cobre Panama. The public acknowledgment of these ongoing discussions ensures transparency in the outcome of the process we've been speaking about. The Ministers of Commerce, Finance, Labor and Environment were confirmed as representatives on the commission. The company welcomes the appointment of the commission and the opportunity for all stakeholders to resolve this matter in the medium term. Also in June, the Supreme Court ruled on the clarification motions presented by the company to the court in relation to its Law 9 decision announced in September 2018, which have not yet come into effect. The Supreme Court upheld its ruling and the company understands the decision will be enacted once published in the Gazette of the Supreme Court in the near future. The company is reviewing these developments and expects the government announced process to result in a mutually agreed new law to be presented to and approved by the National Assembly. In Zambia, operations at Sentinel experienced weaker grades as we guided through in last quarter's report, but throughput was higher assisted by softer ore and high availabilities. This resulted in record milling rates during May. Installation of the 4th inpit crusher continued as planned with installation in Q3 and commissioning in Q4. This will enable the plants to ramp up throughput to 62 million tonnes per annum in 2022. Kansanshi saw improved throughput following the end of the dry season at the end of April, which was offset with lower grades. The lower grades are anticipated to remain through the balance of this year as reflected in the change made to Kansanshi guidance in this quarter. Scheduled smelter shutdown at Kansanshi occurred as planned in June with the smelter coming back online in early July on schedule. In respect to Zambia, we are no longer in discussions to sell down a stake in that business. The strong performance of the copper price and continued solid operational performance has meant that the price is offered by counterparties were too much of a discount to the strong earnings of the business currently generates. Nickel production in the quarter was 4,543 tonnes at Ravensthorpe, while construction of Shoemaker Levy continues to advance, but also work is now predominantly complete. Pre-strip at Shoemaker Levy continues with the first Mining Area cleared. We look forward to moving on to better quality feed from Shoemaker Levy and anticipate first ore delivering this third quarter of 2021. Across First Quantum, all of our established COVID-19 protocols at each of our mines remain in place. With the health and well-being our workforce and the surrounding community continues to be our priority. We continue to work closely and support the various levels of government and health authorities in all the regions we operate - to reduce the transmission of the virus and to deal with outbreaks and infections as they occur. In Panama, the company supports the work of the government with aerial transport, food, medical supplies and other facility base needs, including support to the Gorgas Institute laboratory testing facilities. In Zambia, the company has provided COVID-19 testing equipment and treatment and isolation facilities for the community and continues to implement COVID-19 protective measures across all our operations. Vaccination programs have commenced in most of the host countries for the company's operations and First Quantum is supporting rollout of vaccination programs as appropriate to each country. In Panama, the rollout is reasonably strong and by mid July 3,928 employees had received their first dose vaccination. In Zambia, the rollout was slow to start, but has been increasing steadily and by mid-July 366 employees had received their first dose vaccination. On ESG, the company is always been committed to extracting resources as responsibly at the camp and sustainability is intrinsic part of First Quantum's operations. We recognize that mining has a significant impact on the environment and we work as hard as we can to mitigate these impacts and to deliver positive contributions from mining to the communities around us. We remember our commitment to transparency and the ongoing development of First Quantum's ESG reporting, we recently published our 2020 environment, safety and social data report and our Tax Transparency Report, which are both now available on our website. This year's report highlights the first time the significant CO2 emissions savings realized by some of our industry leading mining technology including these trolley-assist and in-pit crushing and conveying which are part of First Quantum's approach to place innovation and operational excellence, the core of our business and in our response to climate change. Also in this year's report, we've expanded our CO2 emission intensity disclosures to reflect our downstream Scope 3 CO2 emissions and emissions benefit of our largely hydropower Kansanshi smelter in Zambia. At Cobre Panama, we are currently evaluating the opportunity to increase our use of renewable power as part of our efforts to reduce emissions intensity. We will continue to provide updates in respect to the energy strategy at Cobre Panama as these plans become more developed. The company continues to make progress on our 2021 commitments related to climate change. We have commenced our efforts to report and alignment with the task force on climate related financial disclosures framework. A program to set tangible and realistic emissions level and carbon intensity target with an identified pathway to achieve it remains on schedule and we are making progress on establishing an internal carbon price and consequent commodity prices in the evaluation of our new projects. The company also continues to make substantial fiscal contribution to the countries in which we operate and during this quarter we disclosed our 2020 estimate Tax Transparency Report, which is also now on the website. In 2020, our direct tax and economic contributions to our host governments reached close to USD1.1 billion. I'm proud of what the First Quantum team has achieved this quarter and the ongoing improvements we continue to make across our operations, much has been done and more work remains, but I'm excited about what the future holds and look forward to reporting in our progress throughout the year. And with that, I'll hand things over to Hannes, and I'll be back in a few minutes to wrap things out. Hannes?
Hannes Meyer: Thanks, Tristan and good day to everyone. I'd like to direct you to the slide titled financial overview. Financial performance in the quarter was driven by strong sales and increased metal prices, resulting in significant increase in comparative EBITDA and net earnings, as well as a notable reduction in net debt. Gross profit of $625 million and a comparative EBITDA of $902 million for the quarter was significantly higher than the same period in 2020, attributable to record contained copper in concentrate shipped at Cobre Panama, as well as a 37% increase in realized copper price. Net earnings attributable to shareholders of the company of $140 million and comparative earnings of $173 million also represent a significant improvement on Q2, 2020. Net debt decreased during the six-month period by $658 million to $6.75 billion as at June 30, 2021, including a $311 million reduction in just the second quarter. With the current strength in the copper price, significant further reduction is expected in the second half of this year. C1 cash cost of $1.29 per pound was $0.09 per pound higher than Q2, 2020, driven by lower production at both the Zambian operations, as well as at less crushers. Capital expenditure in the quarter was $264 million, which includes the cost associated with the Kansanshi smelter shutdown and the construction of Shoemaker Levy conveyor and crushing station. In May 2021, the company announced that it had - has entered into a binding agreement to sell a 30% equity interest in Ravensthorpe for cash consideration of $240 million to POSCO. The company will retain a 70% interest in Ravensthorpe and continue to be the operator. Transaction is expected to be - to complete in the third quarter of 2021. Turning to the next slide on quarterly copper unit cash cost. Total C1 cost for the quarter of $1.29 per pound was $0.09 higher than Q2, 2020, driven by the impact of lower grades. At the Zambia operations and cessation of the open-pit, mining at Las Cruces in August 2020. Cobre Panama C1 cash cost of $1.25 per pound was $0.47 per pound lower than Q2 last year and reflects the significant increase in production. Strong year-to-date copper production at Cobre Panama has resulted in an increase to copper production guidance for 2021 by 10 to 5,000 tonnes to between 310,000 tonnes and 335,000 tonnes. All-in-sustaining cost for the quarter of $1.91 per pound was $0.29 per pound higher than the comparative quarter. The increase in all-in-sustaining cost reflects the higher royalty of 10% in Zambia following the higher copper price and higher sustaining CapEx which includes the planned smelter maintenance shutdown at Kansanshi. Our copper C1 cost for the second quarter and for the first six months of the year have been in the middle of our guidance range. All-in-sustaining costs has been under pressure particularly in the second quarter from higher Zambia royalty rates. Accordingly, all-in-sustaining cost guidance has been increased by $0.10 to allow for higher royalty expense which for the year-to-date has exceeded prior year levels by $0.11 and for the quarter by $0.12. Turning to the next slide, Q2 summary financial overview. Comparative EBITDA of $902 million was 156% higher than Q2 2020, attributable to 37% increase in the realized copper price and increased sales volume at Cobre Panama, with near record quarterly production and record contained copper shipped, the comparative period sales was also significantly affected by COVID-19 related restrictions. Comparative earnings for the second quarter were $173 million is an increase of $257 million compared to Q2 2020. Basic earnings per share of $0.20 and comparative earnings per share of $0.25 of $0.43 and $0.37 higher than Q2 2020 respectively. The reduction in net debt as previously as mentioned of 311 million in the quarter, which brings the total reduction over the last 12 months to have $900 million, further reductions remains a key priority. Capital expenditure in the quarter was $264 million, which includes the smelter shutdown at Kansanshi. Now full year guidance for capital expenditures unchanged at $950 million. On the next slide, this is a significant increase in gross profit and it just shows a bit more detail on the gross profit quarter-on-quarter movement with a $484 million increase in Q2 gross profit from improved metal prices and higher contribution from Cobre Panama. Turning to the next slide on debt and liquidity profile. Company's net debt of $6.75 billion at the end of the quarter has decreased over 900 million in the last 12 months. The company ended the quarter of $1.8 billion of net unrestricted cash and cash equivalents and was in full compliance with all of its financial covenants. Company signed a bilateral borrowing facility of $175 million in April 21, available for 12 months from the date of signing. Following the upgrades by S&P Global Ratings and Fitch Ratings in April to a B credit rating, the company outlook remain stable. Copper prices and demand continue to be robust as Tristan has highlighted the tapering off of the hedging program will further benefit financial results in the remainder of the year. Now turning to the copper-hedging program outlook, approximately one quarter of expected copper sales in the next 12 months are hedged at an average floor price and average selling price of $3.16 per pound and $3.70 per pound respectively. This compares to approximately 35% at the end of the first quarter of '21 with an average floor price and average ceiling price of $3.04 and $3.44 per pound respectively. As at July 27, 2021, the company had just over 44,000 tonnes of unmargined copper forward sales contracts at an average price of $2.96 per pound with periods of maturity out to December '21. In addition, the company had a little bit more than 150,000 tonnes of unmargined zero cost copper sales contracts with maturities to March 2022, at average prices of $3.21 per pound to $3.92 per pound. Company also had an unmargined nickel forward sales contract to a bit more than 1,000 tonnes at an average price of $7.74 per pound outstanding with maturities out to December '21. In addition, the company has zero cost nickel color and margin sale contract for nearly 1,300 tonnes at an average price of $7.68 per pound to $8.58 per pound with maturities out to May '22. Thank you. And with that, I'll hand it back over to Tristan.
Tristan Pascall: Thanks, Hannes. Let me just take a few moments to discuss the path forward for First Quantum as we continue to execute our vision into the future. We do have a number of key strategic priorities that are underway at the current time and which we believe will help build sustained long-term value for shareholders. In the longer-term, we have optionality within our portfolio that we also believe the potential to deliver significant shareholder value. For now the current focus of our capital allocation approach within the context of a very strong commodity market remains firstly on debt reduction, which is a commitment and strategic focus. Secondly on execution of brownfield projects to add incremental value and thirdly on cautiously improving our dividend policy to reward shareholders. Spend on greenfield projects will remain limited while we deliver on these core focus areas particularly debt reduction. I'll take a moment to discuss each of these key strategic thrust in a little more detail. First and foremost, debt reduction will continue to be the major focus in the near term as we work towards reaching our goal of reducing our debt by more than $2 billion and thanks to strong operational and solid commodity prices. When we achieve this goal, our gross debt will be below $6 billion and our net debt through the cycle EBITDA ratio will be below 2. Next is brownfield expansion, we are fortunate to have a robust internal pipeline of new mine growth projects at our disposal. To that end, progress on delivery the 85 million tonnes per annum target throughput rate at Cobra Panama continues and remain on track to grow to 100 million tonnes or more than 100 million tonnes per annum by the end of 2023. In the mine during Q2, we broke ground at the in-pit crusher box cut location for the new Kalina pit location and the overall Kalina mine planning as it remains on track. At the process plant, a primary screening facility is expected to be delivered in Q4 2022 and upgrades to process water supply and ball mill 6 are expected to be delivered by Q1 '23. At the Enterprise Project in Zambia the design for development of the pit has been revised and optimized to support an accelerated mine plan targeting early pre-stripping in the second half of 2021. Following potential Board approval, which could potentially come later this year, majority of the pre-strip would be done following start of the dry season in April 2022. This project has the potential to add around 30,000 tonnes per annum of nickel production. The decision on the S3 Expansion at Kansanshi remains pending as we continue to work with the Zambian government to formulate a framework to move this expansion forward. There has been limited progress on this through the last quarter given the election processes in Zambia and we do expect further noise and distraction in this regard in the near term. However, once given the green light, S3 would increase materially Kansanshi's annual throughput to well over 50 million tonnes per annum and in short production levels remain strong for more than 20 years. Last month we received a mining license for Cobre Las Cruces underground. We expect the water concession license may be granted by late 2021 as we continue to make solid progress towards being fully permitted. The study work continues with the drill program currently underway. As part of this work, the company expects to release National Instrument 43-101 report within associated resource in the second half of the year. We still have a way to go before deciding on where this project may fit into our pipeline, but its pleasing to see the recent progress. Next, we expect to have an update on guidance around our dividend policy by the start of next year, which will include an increase to our current nominal dividend. We will start cautiously once confident our debt reduction targets are being met and this policy will not be at the expensive brownfield growth. At this point as we focus on debt reduction and the brownfield opportunities I just discussed we can take a more measured and cautious approach to greenfield opportunities within our portfolio most notably Taca Taca in Argentina and Haquira in Peru. We are certainly excited by the prospects of these projects and the longer-term potential they offer. At Taca Taca for example, we recently completed an NI 43-101 declaring a maiden mineral reserve of more than 7.7 million tonnes of contained copper. However, before proceeding with an investment and construction decision, we would like to further understand the physical environment in Argentina. Similarly at Haquira, we see strong potential in a project situated in the prolific copper belt in Southern Peru. However, at Haquira our current primary goal is to continue to work with the local communities who reside in the area where the project is located. Finally, on behalf of the entire company I want to thank our people once again. Our workforce continues to demonstrate adaptability, commitment and resilience and make significant contributions to the success of a business. I'm proud of how our workforces continue to focus on executing in a safe and sustainable manner in the phase of ongoing logistical and operational challenges resulting from the COVID-19 pandemic. Operator, we would now be happy to take questions. Thank you.
Operator: [Operator Instructions] The first question is from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: In your release you disclosed that you plan to increase the throughput at Cobre Panama to 100 million tonnes a year by the first quarter of '23 that was certainly earlier than I was thinking. And I'm just curious if you plan to complete the rest of the work needed for the expansion at the same time from a tailings and mining perspective or is that going to come later?
Tristan Pascall: Hi, Orest. I'll take the question. Yes, look that was really in regard to ball mill 6 delivery of that installation in Q1 2024 and we will be commissioning and ramping up throughout the year. So really the previous guidance we put there remains in place in 2023, that is we expect to be at the 100 million tonne per annum rate - throughput rate by the end of the year, not necessarily from the end of Q1. Does that help?
Orest Wowkodaw: Okay. So you basically plan to be fully operational at that 100 million tonne throughput rate exiting '23, that's the way to think about it?
Tristan Pascall: Yes, that is a good way to put it. Yes.
Orest Wowkodaw: Okay. And then just also on Cobre Panama, it sounds like you're getting close to getting down to negotiate a replacement for Law 9 with the government, there has been some media reports about government officials asking for higher royalties over the 5% current copper royalty. Should we anticipate that there could be some give and take in terms of the current terms in order to get a replacement for Law 9 or any color would be appreciated?
Tristan Pascall: Sure, Orest. Yes, look, I think that's right. We do expect that there will be nice around this process given that it's a public process, that's a good thing, given that it's a public process it means that we expect a transparent outcome and we expect to relate to a robust and defendable outcome for both the government and ourselves. We wouldn't comment on the minister’s comments other to say that a significant investment was made on the basis of the original Law 9 physical assumptions. It's also pleasing to see comments from the Minister earlier this year that Panama want to see mining at the forefront of its recovery from COVID-19 coming out from the current situation. And also we did see comments from the President of Panama, Laurentino Cortizo yesterday in the National Media, which was on that he considered that there can be a win-win outcome in the process. We said we align with that, they will be given take, but it can be a win-win for the company and the government in terms of realizing benefits and increasing certainty for both the country and the company.
Orest Wowkodaw: Thank you, Tristan. And then just finally, can you give us a sense of timeline for this Law 9 replacement take negotiation like will the expectation be that there is something completed by the end of the year or could just take a lot longer?
Tristan Pascall: Yes, Orest, I realize that it's been a challenge through the COVID-19 period in that, prior to this we were engaged and then that's being held back by just the inability to make first study is improving, as I said on previous calls, we are having those face-to-face discussions. I think what you should read from this is that there is momentum building what the government has learned like give a bit of background to some of the comments recently that did have a process on the Panama Port Commission and concession and that was around making sure that there was public engagements and so we do see that now the public engagement, these public announcements and that builds momentum around timing, but it is a government process, it goes through the negotiation with the administration and then into the National Assembly. Those are the steps, they remain the same, but it's challenging to give a timeline around that. And I understand that it would be good to give you a clear picture, but let's got to go through those steps.
Operator: The next question is from Matthew Murphy with Barclays. Please go ahead.
Matthew Murphy: Hi, another one on Cobre Panama, just on a recent story on this pipeline spill, I mean, should we read anything into that, is there a likelihood of anything meaningful in terms of fines or sanctions coming from that?
Hannes Meyer: Yes, thanks, Matthew. Yes, maybe in Panama has picked up on what was really a mine still and of a small volume of water and slurry rock from the pipeline two weeks ago. Our response teams in the store protections worked very well and we're confident the adjacent stream was not impacted beyond the narrow so of some high suspended solids and those were diluted by heavy rains. But nonetheless, the incident - it's regrettable for us and we're working to continue to improve the equipment and the systems involved and also with the ministry environment in regards to the recommendations for corrective actions. As I said at the low level incident, I think it's really around the noise and the processes that are ongoing that it's come that we've seen those media reports.
Matthew Murphy: Okay, thanks. And then if I could just ask another one on the risk front just looking ahead to Zambian elections. I mean, it's interesting to me that the mining sector hasn't seem to become really a lightning rod in the election process, but I'm wondering on how we should think about news flow, I guess there is a new budget presented 60 days after elections, I mean do you think mining doesn't really come to the fore through all this?
Hannes Meyer: Yes, Matthew. Thanks. Look I guess the challenge during the election is that those - that's a competition and there is noise and we think national elements come up in those discussions that are in terms of the electioneering. It's been hard to make progress, the ministers are in recess and that means there is only really the President and a number of key public office holders that are in position at the moment that means we can't engage to any great extent in terms of outcome there. And then, yes, the election is on the 12th of August and we will see a budget 60 days thereafter. We expect that the - whoever comes back in with its incumbent to otherwise, we'll need to engage, but in particular on the IMF process and in consolidating the fiscal position in Zambia. In terms of how that relates to the mining industry, the government is now a co-operate us through [indiscernible] to the major mines in the country, subject to ongoing court cases in South Africa in regards to the one mine, but they have a very good picture now of what it's like to run and operate the mines and the part and parcel of the industry going forward. So we don't see any significant risk there given with tax rates at the moment in Zambia, but there is a need, strong going engagement and particularly as we look to the S3 investment that needs to be the right kind of framework around that investment. I hope that covers your question, Matthew?
Operator: And the next question is from Jackie Przybylowski with BMO Capital Markets. Please go ahead.
Jackie Przybylowski: Thanks very much. I think and just a follow-up on Matt's question, but in a maybe slightly different way. I just I guess maybe Tristan, if you could clarify, in the slide deck presentation I think it does the Board is looking to make a decision on Enterprise by end of 2022 and I think you mentioned earlier maybe I misheard you, but I think you said the end of this year. So maybe if you could just talk a little bit about what the timing is, I know you guys are working on some pre-stripping second half of this year, how much activity do you plan to do at Enterprise before you make a Board decision. And maybe if you can just clarify like when do you think you need to make a Board decision and what you need to see for that decision to be a positive one? Thank you.
Tristan Pascall: Sure. Thanks, Jackie. So Enterprise, we are able to do some preliminary works and as you said that's just some ongoing pre-stripping work out there and actually I was on the ground there the week before last and very good to see some preliminary works on going after the rainy season. In terms of the decision this later this year, it will be linked to the broader fiscal environments in Zambia, it's just that we are outlining that this decision can come and then actually fairly quickly we can be in production, because this is a brownfield project, it's by no means a new greenfield project given that a lot of the plant is already standing. So the total capital for the investment is around 90 million and that number will be reviewed as part of the Board approval process. And yes, we would hope to be able to put that in front of the Board later this year notwithstanding the preliminary works ongoing for the full approval, but it's subject to the situation in Zambia.
Jackie Przybylowski: And I guess we'll see that feasibility study that you're planning to update as part of that Board approval process as well right, that will come out later this year as well?
Tristan Pascall: Yes, look, once we're engaged in the project, we'll make sure that there is an understanding of the production profile and if we're seeing around the project, whether it's a full feasibility study given that it's a greenfield project, we'll make sure that you've got all the parameters around it, that's for sure.
Jackie Przybylowski: Fantastic. And maybe if I could just ask on the hedge program, so you mentioned or Hannes mentioned that you are sort of tapering that off a little bit and it's now less of your represent less of your copper sales going forward. Can you give us some updated guidance in terms of like what you may do with that hedge program, are you still planning to add hedges, is there some level of hedging that you're planning to maintain or as we kind of rule the quarters forward over the next year or so, should we expect that to wind down entirely? Can you just maybe give us an update on what you're thinking is with that?
Ryan MacWilliam: Hannes, would you like to take that question?
Hannes Meyer: Sure. Jackie, I mean we have that hedge program when whilst we were building Panama and highly leveraged, you would have seen the leverage come down quite dramatically over the last year. And as we said, we would sort of reduce that level of activity, you would have seen probably the hedge book dropping off by 10% over the next 12 months sales in each of the last three, four quarters. Our last hedges that we have placed was just before the previous quarter's conference call, so at the early in early start of this quarter, so we haven't added any new hedges. So I think that's probably a good indication of where we're heading.
Operator: The next question is from Matthew Fields with Bank of America. Please go ahead.
Matthew Fields: Congrats on the strong execution. Appreciate the sort of more specific commentary on debt reduction, capital allocation that you sort of put in writing and sort of codified a little bit more than in the past. Just on the balance sheet side, you had a few quarters now very strong cash flow, you've had the 175 million bilateral facility come in, you've got 240 million of cash coming in from Ravensthorpe in the third quarter. My question is, why is the revolver fully drawn at quarter end?
Ryan MacWilliam: Thank you, Matthew. Hannes, do you want to take that question?
Hannes Meyer: Sure. Hi, Matt. Look, we had a few things sort of in the quarter. So we had a smelter shut in Zambia and inventory buildup that we just to fund as well, so that we went through that. And as part of that process and just planning, we had drawn under that. I think what you would see is now sort of managing the next question you will ask is when will we take that bonds? What we would look at is now sort of saying, all right, the smelter is now, shut is beyond us, it's a smelter started up earlier this month again. So that inventory is then flowing through and all the cash flow is flowing through. So what we would see is cash POSCO cash coming in. We are also working on corporate refinancing that should be done by end of this year. And then I think within the next year, we'll start addressing some of those and bond maturities then. So you would see some movement, I mean so it's just particular to a certain situation in this quarter, but thereafter you should see improvement overall and absolute debt reduction as well.
Matthew Fields: All right. Well, I appreciate that and believe it or not I want to ask about refinancing bonds. You sort of read my mind, obviously, you are seven in a quarters are callable now, the 6.5's are callable now to and your cost of new debt would be well below that, the 6.5 premium, the call premium steps down on September 1st, so you only have to really wait a few days now for a 30 day redemption notice to get that lower coal price. Does that sort of high amount of cash on the balance sheet from revolver draw kind of coincide with that you know 23's and 24's being kind of prime targets for a refi in the coming weeks here?
Hannes Meyer: We tend to be opportunistic in this regards, I don't want to speculate on the exact timing of since to when we will do it, I think within the next year is probably a good enough response for now.
Matthew Fields: Well, thanks very much and good luck with the rest of the debt reduction in the coming year.
Operator: The next question is from Greg Barnes with TD Securities. Please go ahead.
Greg Barnes: Tristan, you kind of flipped in at the Zambian operations are no longer under discussion to sell down interest in the business, you're looking at investing in S3, you're looking at Enterprise. It seems to me you've kind of reassessed your view towards Zambia again, there was a time that where you didn't want to invest, now it sounds like you do it's getting much more comfortable about Zambia going forward.
Tristan Pascall: Thanks, Greg. Hi. Yes, look, we've got to get through an election, Greg and I just want to make the point that we will see noise and these periods is always vocal and so we do expect some distraction in that. But notwithstanding that, we - those are great assets that we have Sentinel and Kansanshi between them producing nearly 500,000 tonnes of copper, certainly we'll be at that level after investment necessary. So in the longer term, yes, we absolutely, we great supported Zambia, we think it's a good destination for investment over the longer-term, but certainly we do need to get through some short-term interactions with government. As I said, at the current time, we can't really do that given that ministers are in recess and so - but we do see that after the election, an appetite to engage on that because these investments are good for Zambia.
Greg Barnes: And have you had any further discussions you are saying about ship with First Quantum now most discussions not selling an interest and now happening, do you have a sense of where they stand or what they want?
Tristan Pascall: Yes, Greg. So that's - I'm falling into just a regular conversation that we have each quarter really off the back of each quarterly results. And so it's an ongoing engagement and an ordinary course now. No, I don't have an insight understanding as to their intentions, but what we understand is that they're happy with the investment and they're happy with the delivery against the strategy and where the share price is at the moment and so on, given where they came in and we are in an ongoing engagement phase with them at the moment.
Operator: The next question is from Lawson Winder with Bank of America Securities. Please go ahead.
Lawson Winder: Thank you for taking my call. Tristan, I wanted to just ask you a little bit more on the - the whole a lot tailing skill at Panama, just some comments that were made by the Ministry. So one of the comments was that they were looking for maximum sanctions, maybe it would help if you could just quantify what that could possibly be in terms of numbers?
Tristan Pascall: Yes, thanks, Lawson. Look, we can understand that there is a lot of public visibility on mining at the moment given the government's comments around looking to expand mining. We - it's our intent to be responsible miners into mining as well as we can be a good corporate citizen in that regard, it's certainly. We hold ourselves to the highest environmental standards. We continue to improve the capability of the business, this incident was pretty minor, so the incident itself with less than 12 minutes, our guys responded within five minutes. The actual volume of material was very insignificant, it doesn't - in our estimation, it doesn't reach Level three. It was captured by - there was some escape, did create some suspended solids, but it's fairly immaterial. And so we would contend that it's a fairly minor event and not material, not significant, but the Minister there is create a public visibility on mining and we need to behave as responses we can. So we will certainly take all the preventative actions to ensure that something like this doesn't happen again and that's been improving.
Operator: I'm sorry, I believe we have lost connection with the speaker.
Hannes Meyer: Operator, if we could maybe move on to the next question then.
Operator: I apologize, it was your speaker, Mr. Pascall, I believe that has disconnected.
Hannes Meyer: Yes, but I think, let's wait for him may be to dial in again and then we can maybe move on to the next question. Tristan, are you still on the line?
Operator: No. He has disconnected.
Hannes Meyer: All right. Let's see if we've got another question that we - in the line.
Operator: Certainly, so the next question will be from Karl Blunden with Goldman Sachs. Please go ahead.
Karl Blunden: Congrats on the strong results, again a couple of questions for Hannes. On the debt reduction target, I just want to make sure I understand that you talked about $2 billion of debt reduction to get below $6 billion in total, if you're currently at 8.5 and some of that has to do with the revolver draw, but is it right to assume then that you are looking to reduce debt versus the quarter end by $2.5 billion and if there is any breakdown of bank facilities versus bond that would be very helpful.
Hannes Meyer: Sure, Karl. Look when we talk about the debt reduction, we look at the net debt number. So you would have seen, I mean, we've made significant progress over the last certainly here in terms of that. So we're well on the way in terms of that and with the - we will get some proceeds in from the minority stake sale in Ravensthorpe as well plus continued stronger cash flows in the second half of the year where we've got much more exposure to the upside and the copper price, so that pulled off long way. I think we will probably go beyond that, but I don't want to give you exact numbers here, but we've got a certain amount of brownfields projects that we'll spend some money on, but it's not that significant and the cash flow generation. So what we'll do is, I mean there will be some reduction on the bonds the next year, we will start reducing that, plus we will refinance the bank facility. So the bank facility was a $2.7 billion probably about three years ago. So, we'll look before end of the year to replace that, probably by a similar amount or slightly smaller doesn't make much of a difference if it's a bit smaller as well. And of course we'll use that then to reduce the bonds, the banks have been very supportive in the bold and in through tough times as well. So we've got a very supportive banking group there. So it's key for us to retain that sort of credit appetite from the banks and that support. So we will look at replacing that again and then reduce some of the banks, but as the bond debt it is important for us in the long run to have still a significant presence in the bond market. So there will be some reduction, but so that will flow through in the next year.
Karl Blunden: Okay, that makes a lot of sense. And then just in terms of - we haven't really spoken much about the delta variant of COVID and you've done really well since the initial mandated slowdowns to keep the operations running smoothly. When you think about what that variant could mean in some of the areas with lower vaccination rates, how confident you are around the ongoing operations in Africa and then in Panama?
Hannes Meyer: Hi, if you could check - good stuff and so the balance sheet. So as I said, the health questions for you Tristan.
Tristan Pascall: Thanks, apologies for that. Look, thanks for the question and I was in Zambia the week before last and certainly the delta variant is there, it's in South Africa and it's in Southern Africa more broadly and in Zambia. The third wave was causing has come off from the last four months, so what we're seeing is an ongoing reduction of cases and certainly an ongoing reduction in deaths and that includes the testing because some of the testing is not capable splitting to rollout at the same high levels, but what we are seeing in death is also is a reduction. So on the site I think what it has - the third wave has done is increase understanding, increase it's - it has broader claim to Zambia and we are seeing a greater uptake of vaccination. The challenges around delivery or effect of vaccines that we're certainly assisting the government in that regard, although it is only government that can talk to the primary producers of the vaccines and we do see increased shipments of vaccine to the country and more broadly in Southern Africa, which is good news. And so we do see that it will be a slow progress, but increasing in terms of vaccination and but the numbers have come off in the interim in the last few weeks which is a good sign. I hope that covers your question?
Karl Blunden: Yes, I think it does and maybe I'll kind of extend that to Panama as well. It sounds like things are more broadly under control, but any color there would be very helpful?
Tristan Pascall: Yes, as I said in my comments, the vaccination is going extremely well. So the number of people that have decided not to take the vaccine so far is I mean 3.3% and really that's down to our employees, very progressive and engaged, part of the solution and the uptake has been very strong. The protocol in Panama are is that, over 30's are eligible for AstraZeneca and so nearly 4,000 of those doses have already been delivered to employees and we're supporting a broader vaccination rollouts in both Colon and Cocle provinces with funding of around $1.5 million for drive through vaccination centers that have been very successful in rolling out the program across the regional areas as well as the capital city. The under 30's in Panama are on the Pfizer protocol and shipments of that vaccine are coming into the country this month, have been delivered. And so we do see a pickup in the under 30s as well, which is good news. And that's against the backdrop of reducing third wave across the country, which I think is good news and the plan in Panama - the government's plan is to fully vaccinate by October.
Karl Blunden: Thanks very much for the color on the health and then also on the balance sheet side, Hannes. Thank you.
Operator: The next question is from Abi Agarwal with Deutsche Bank. Please go ahead.
Abi Agarwal: Yes, good morning, Tristan and thanks a lot for the call. I have a couple of questions. The first one is around CapEx, so there has been a shift around in CapEx, I think capitalized stripping has gone down by around $40 million, your total CapEx is unchanged. Has that been allocated to the Enterprise project, that's my first question?
Hannes Meyer: Thanks, Abi. We - look the reality is given the labor shortages at Cobre Panama, it's really been in Panama that we've seen that reduction in stripping, capitalized stripping, so it came down about $40 million, now strip ratio in Panama is currently sitting at about 0.4, the plan for the year is 0.66, so we'd like to build up in the second half of the year. The shortfall has been on really maintenance operators, truck operators to be able to continue to deliver all the capital equipment to do that. Nonetheless and the other challenge I should say is we've been finding too much copper, which is a nice problem to have, but in the - particularly on the hanging wall in the North everywhere that we thought was wise has been more mineralized than originally expected. So that's a good problem to have, but it does mean that the strip ratio is not as high as plan, that will shift as we get into cleaner as I said, we've broken ground on the box cut position for the new cleaner pit and so that is definitely waste, we're able to mine that as waste and stay waste which is good news from a waste perspective, so that's why we do see that we would like to get back to that the overall target strip ratio for the year. But in the meantime, we - be a challenge to catch up with that and so that's why the total capitalized stripping numbers come down for the year.
Abi Agarwal: And that $40 million, so that the sustaining CapEx has increased, so has that been sustaining CapEx and other projects, so that 40 million has that been allocated to Enterprise?
Tristan Pascall: No, Enterprise is not taking a significant portion of that, it will be in some of the overruns at Ravensthorpe and also on the other operations, but no it's not allocated to Enterprises.
Abi Agarwal: And my last question is on Cobre unit cash cost, so I think in the release you mentioned there is still a component of COVID costs incorporated. Could you tell us what that component is?
Tristan Pascall: Yes, it was running at around $10 million a quarter if I recall correctly and that relates to the hotel installation cost that is that we raised hotels for a period of a week, for every employee prior to coming on to the site. Obviously, the vaccination program once we get through that and to the right level, we will be able to stop that. And then it's also in just over time and labor cost because we are able to have less people on site, we are paying above standard rates for labor that is on-site.
Operator: The next question is from Emily Chieng with Goldman Sachs. Please go ahead.
Emily Chieng: Good morning and thanks for the update today. My first question is just around the capital allocation strategy. So once you have your $2 billion of gross debt reduction achieved, you mentioned the cautious approach to dividends, but is that perhaps a framework we can use to think about how First Quantum would balance shareholder returns versus growth for example, should we expect to payout ratio or some kind of percentage of free cash flow being returned or do you still perhaps have a preference for a progressive dividend policy instead?
Tristan Pascall: Thanks, Emily. I'll make some comments and then maybe Hannes will jump in. So look that's what we intend to come out with and as we said towards the end of the year or early next year to outline that more clearly. We are outlining for shareholders and intend to move from the nominal dividend. But as we said, it will be a cautious approach and probably link more to cash flow and the business potentially, although previously we've linked it to comparable earnings and paid out on that basis. Hannes, do you have any more comments on that?
Hannes Meyer: Yes, Tristan, I think it's fair enough and I wouldn't describe definitely not as a progressive dividend policy. So it will be linked to some sort of earnings or cash flow measure, but that will allow the company still to continue with its brownfield expansion and growth ambitions going forward.
Emily Chieng: And my second question is just around the Las Cruces underground option there. Can you remind us what the size of the price here, any rough estimates of capital cost and anticipated sort of timeline or decisions. And then sort of following on from that, it seems like in terms of sequencing growth brownfield is certainly ahead of the greenfield options you have there. But - so would it be fair to say that the decision making timeline around some of your greenfield opportunities are longer dated than sort of the two to three year plan that you've outlined for the brownfield so far?
Tristan Pascall: Sure. Emily. Thank you. So firstly on sales see, as I said, our intent is to come back with a 43-101 that will give more clarity for the market on the decision and John Gregory you might comment on that further in terms of what that would look like. But in that we would include the capital and the cost estimates and so on in the production profile. But in the meantime, CLC does continue to operate based off reprocessing of initially stockpiles and then tailings and so really what we do yield the decision around closure and things are definitely being pushed out. And what we see is the study efforts on the underground and the opportunities there, we continue to work on and as I said expect you to receive full permitting, hopefully by the end of this year would be good. And then more broadly on the greenfield decision before John might comment further, the greenfield decision, that's right. We pushed the decisions out on those towards sort of '23, '24 and are not included in - everything on the brownfield side is included in our capital guidance around is 100 million at Cobre Panama and there is some capital in 2023 around 250 million in our guidance for S3 and then the remainder of S3 comes through in the following year, those timings for S3 won't change significantly, but there is no capital and no decision we expect on things like Taca Taca and Haquira in that period, they would come after that period. John, do you have any more clarity on CLC and 43-101?
John Gregory: Yes, sure Tristan. At the moment we're just finalizing delineation drilling program. And our intent is to provide an update on the underground resource and 43-101. We have ongoing works, technical in terms of dewatering geotechnical, which means that it will be a period before we can actually amount to reserve, but our intent is to get a 43-101 update produced by the end of this year.
Operator: The next question is from Ioannis Masvoulas with Morgan Stanley. Please go ahead.
Ioannis Masvoulas: Yes. Hello. Thanks for taking my questions, two left from my side. The first one again on the net debt reduction, that $2 billion target, is this enough let's say it's $5 billion and could it be the case that you may need to bring leverage further down even below levels that you feel comfortable with just before you launch the next major greenfield project over the next few years because if we look at some of your peers, they are running net cash balance sheet positions. And I would say that many investors tend to favor that, I'd be interested to hear your thoughts on that point. Thank you.
Tristan Pascall: Thanks. Hannes, do you want to take that one?
Hannes Meyer: Sure. Look, we stated the debt reduction of $2 billion that was a target, I think what you will see is, you run the current numbers, you will see that level actually being higher, that reduction that we will achieve within the next year. So I think if you look at our greenfields projects, they're also - it's not imminent. So our debt will reduce further from that. I think it's and also important to look at growth state for reduce and it will reduce probably by more than that level. And then there is also to look, important to look at the sort of leverage ratio and what we stated in the past set of less than two times net debt to EBITDA, now we're already there that I think what we will look at there sort of the longer-term copper price. So if you run longer-term copper price scenarios not be not extend this above those sort of numbers. So - and that will be achievable when we get to the next decision on the next greenfields project.
Ioannis Masvoulas: Okay, that's, that's clear, thanks very much for that. And one more question if I may, you made an interesting comment around Cobre Panama and the fact that you're looking to at least partly switch the power mix to renewables. It's interesting because you just commissioned the coal-fired power plant a couple of years ago. How you're thinking about monetizing that asset, could it be the case that you sell more to the power grid in the country or are you thinking of some other arrangements?
Tristan Pascall: Thanks, Ioannis. Look, we're very happy with the coal-fired power station in terms of the way it's running and the cost of generation. What we do see though however is the coal-fired power station is responsible for perhaps 40% of the CO2 emissions within First Quantum. And so it's right that we look closely at it. It wasn't right that we look at that during construction and commissioning what was important that we got the power source up and we inherited that coal-fired power station, it was Panama sitting on the ground and it was the right thing to do to install and get the mine started. But now it's appropriate that we relook at that and what we're saying is that initially for the growth of Cobre Panama to 100 million, we're looking at other sources of power including renewable. And then we do continue to look at the power station itself and what options might be available there. I think it's broadly important for Panama that they have stability in the grid, hydroelectricity in the country goes up and down very significantly across the year because there is no storage, it's all run a river hydro in the west of the country. And so they are relying from thermal energy, but at this time particularly from diesel generators in the country. And so that's an important consideration, but all of these things will weigh up in our deliberations and as we've said, we'll come back and explain those later in the year in terms of our strategy around the power station and come back and report more as we have more information for you.
Operator: [Operator Instructions] The next question is from Jatinder Goel with BNP Paribas. Please go ahead.
Jatinder Goel: Good morning and good afternoon, just a couple of questions. First one on carbon price integration is, there any timeline by when you'll be able to conclude and would that then apply to all the projects that are unapproved in your portfolio including S3 expansion and so on. And second, just a quick one, is there any cash tax guidance you can offer for this year please? Thank you.
Tristan Pascall: Thanks, Jatinder. The first question first, so carbon pricing, yes we will come back by the end of the year in terms of how we will approach that within the group. What we do see - initially we're looking at new projects, so in particular things like Taca Taca and Haquira, but we are evaluating it against the other projects in the business, which include S3 and we'll just give more color on that as we go forward. What we do have is a number of initiatives within the business to save on CO2 and really that's around continuing to push our productivity and to reduce our emissions intensity against every unit of copper production and that's in quorum. Sentinel already sits very low down on the curve, but it's the higher intensity operation that which really Cobre Panama is the highest, that's most a point importance in addressing that, that moves the needle almost for us. Kansanshi is in the middle, but it's really not on carbon pricing, it's much more around the processing stream which is in particular the covenants that come through on the leaching side, but as we go forward we'll be continuing to reduce the proportion of oxide leaching in the process plant and so it does follow by itself. So that's just a bit of color there. Your second question, Jatinder, sorry could you repeat that one?
Jatinder Goel: It's on the taxes Tristan, but do you have a number on the cash taxes, I don't think we've changed that much since earlier the year?
Tristan Pascall: Thanks, Hannes. Juliet you’re still on the line?
Operator: I apologize. She has been disconnected.
Tristan Pascall: Jatinder, I don't think it's changed much from earlier the year when we gave guidance. What you would, I mean I would expect some of that too as we - you can appreciate in Panama we spent all the better part of $7 billion building the mine. So it will take a while before we start paying cash taxes or significant cash taxes in Panama. But in Zambia with the higher prices and the non-deductibility of the royalty what you would see is that sort of effective tax rate increase - is a 10% royalty now, but that's not deductible for tax purposes. So in Zambia you'll see a slightly higher increase in the overall tax - effective tax rate.
Operator: The next question is from John Tumazos with John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Thank you very much. Should we be worried from the minor tailings discharge or the slippage in the strip ratio or the labor shortages at Cobre Panama that operations need more attention and maybe it's premature to be focusing and thinking ahead of the four Brownfield and two Greenfield capital projects?
Tristan Pascall: Thanks, John. No, I don't think that's the case. I think that the management on site is doing an excellent job under the pressures of COVID-19 and all of the challenge of continuing the ramp-up. What we have seen is, measures against production in the mine have been progressing extremely well, that is in terms of the capabilities of the capital equipment to deliver the trucks. For example we look at full an empty ratio. We look at the KPIs compared to benchmarks on our other operating mines in particular Sentinel as to how it's performing against those benchmarks and some areas Cobre Panama is exceeding, in other areas we have continued work to do for example on tire maintenance and road conditions, but in other areas we're already doing better than other mines and we compare ourselves to the other benchmarks in the region, including the draw mines down in Peru. And then in Chile and our suppliers that they - regularly and we compare ourselves to those. In the process plant, recovery is performing extremely well. We now have the gold plants performing much better after investment in maintenance on that side. The process through tailings is working extremely well and we're well on track in terms of the Phase 2 lift around the tailing stand, which is all to get that ready and cope with the current inundation rate, but also to have it ready for the 100 million inundation rate. We have regular external audit from independent audits to come through and check how operations are performing and whether they require standards and we're very happy with the outcome of that. In terms of safety management on the site, this continued improvement from where we were 18 months and 24 months ago. So we see the leading indicators continue to improve and the safety adherence and so on from the workforce from the Panamanians is exceptionally good for a new workforce where the country has no history of mining. But it's developed very quickly and showing a great deal of capability. The incidence on the pipeline is an aberration and regretted, but it's very small and minor, it does need focus and we're confident that it's getting the focus that it requires. This is - we were seeing three or four of these events last year and so certainly the frequency has improved. We pull down to a failure on a weld. So that weld –is difficult to analyze, it does require a higher technical capability of NDT testing in order to examine that weld to make sure that has that everything else in the line has been performing exceptionally well after the improvements last year, the earlier problems we had. And so this is a one-off related to a failure on a weld and but again we will put in place corrective action because it needs to be done. So I hope, John that gives you an idea that the application of management, the application of the operational excellence at the site is already reaching the standards of our other operations, although we continue to lift the standards of those to global benchmarks and we're very happy with the progress in that regard.
John Tumazos: Thank you, Tristan. If I could I ask you one more, I'm thinking of a history in 1986 when Magma Copper hedged at $0.70, which was at or below their breakeven or 04, 06 when Phelps Dodge lost a couple of billion dollars because of zero cost collars as the price rebounded? And I'm a little bit tongue and cheek, but I'm wondering if you're almost trying to trigger a hostile takeover with your hedge practice or your failure to renounce hedging, I just want to call your attention to companies that had similar hedge problems in the past disappeared quickly?
Tristan Pascall: Hannes, do you want to take that call on the hedge book?
Hannes Meyer: Yes, we made it clear we haven't added hedges this quarter, so we've stopped early this quarter. If you look at the history in the last three, four quarters, it has reduced by 10% in each quarter. So that program was in place whilst we were spending quite a bit of capital at Cobre Panama and highly leverage. As Panama has ramped up that hedge program has rolled off. And there is much less hedge now, so that's less than 25% over the next 12 months sales are hedged and you would see from I think August we will participate significantly more on the copper price.
Operator: Thank you. This will conclude the question-and-answer session. I would now like to turn the meeting back over to Ryan MacWilliam.
Ryan MacWilliam: Thank you very much to everyone for joining today's call. Enjoy the rest of your day and we look forward to speaking to you again with our Q3 results.